Operator: Greetings, and welcome to LSI Industries Fiscal First Quarter 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host today, Jim Galeese, the CFO. Please proceed.
Jim Galeese: Good morning, everyone, and thank you for joining. We issued a press release before the market opened this morning detailing our fiscal first quarter results. Included are certain non-GAAP measures for improved transparency of our operating results. A complete reconciliation of first quarter GAAP and non-GAAP results is contained in our press release and 10-Q. Please note that management's commentary and responses to questions on today's conference call may include forward-looking statements about our business outlook. Such statements involve risks and opportunities and actual results could differ materially. I refer you to our Safe Harbor statement, which appears in this morning's press release, as well as our most recent 10-K and 10-Q. Today's call will begin with remarks summarizing our fiscal first quarter results. At the conclusion of these prepared remarks, we will open the line for questions. With that, I'll turn the call over to LSI President and Chief Executive Officer, Jim Clark.
Jim Clark: Thanks, Jim. Good morning, all, and thank you for joining us on today's call. I'm happy to say LSI continues to make great progress on our strategic plan and vertical market focus as we move through the first part of our new fiscal year. In the first quarter of 2022, sales exceeded $106 million, representing year-over-year sales growth of 52% versus prior year. Sales excluding contributions by JSI increased almost 20%. This is the first time in the company's history that we've exceeded $100 million in sales in a single quarter, and you can be assured we'll be looking to make this a regular event. Quote activity and orders remained strong across all segments, driven by continuing execution of our plan to focus on vertical markets, where we can differentiate ourselves, add value to our customers and agents, capture greater share of wallet in each opportunity. Adjusted EBITDA increased nearly 60% versus the first quarter last year, while adjusted EBITDA margins improved both on a sequential basis and a year-over-year basis. Lighting gross margins finished above 30%, improving 100 basis sequentially from our fourth quarter. LSI continue to lead the market with high availability of products and our decision and investments a few years back to diversify our supply chain have been a tremendous benefit throughout the pandemic. In addition to our supply chain diversity and sourcing efforts, we have strategically been building inventory of key components to further minimize potential supply chain disruption. This is not to say that we've not had any supply chain challenges, but simply to underline that we're continuing to find ways to work within the dynamic nature of the current environment, and our company and our customers are benefiting from our great customer service and product availability. All of these improvements have been driven by our employees. The team has maintained competitive pricing discipline from sourcing, operations and through sales, and we've worked quickly to adjust prices that reflect increasing material and transportation costs. Although no customer is happy to hear about a price increase, we've been pleasantly surprised by the understanding, acceptance and collaborative nature of many of our customers. As I mentioned earlier, quote and order activity remained strong through the first quarter and all indications are that it will remain strong into the second quarter, but we're not taking any of this for granted. Two years ago, we initiated a commercial plan to expand and strengthen our collaboration and relationships with our end use customers. This effort is making a difference, contributing to sales increases across multiple sales channels in the fourth -- first quarter, including significant increase in our national account and other end-user accounts. In the first quarter of 2022, our entire executive management team spread out across the country and visited multiple customer sites looking for ways in which we can continue to improve our value to our customers. We have also had a marked increase in customer visits to our factory in Blue Ash, in addition to increased training classes and agent visits. Our work around new product introductions over the last few years, great customer service and high product availability were consistently underlining the meetings we've had as a true differentiator for LSI. Just last month, the large oil retailer that have been working with us on graphics and imaging projects awarded LSI a $3.2 million lighting order. This customer had been using a competitor's product for some time, but our high-quality product, our persistence and our availability ultimately ended up winning out. We believe that in the latter half of this calendar year and into next year that opportunities will be driven as much by availability and reliability as a supplier and partner as they will be by price. And I talked a lot about the supply chain, but I also want to mention our people. Labor, particularly manufacturing labor has been a challenge over the last year. LSI has worked throughout the year to keep our employees well informed and protected. We provided bonuses to our workforce and have worked hard to align benefits with workers' needs. Even in the height of a pandemic, we did not lay off a single worker in the company. This year, during our healthcare open enrollment period in November, I'm proud to say our employees will have a $0 increase in their healthcare coverage costs while maintaining the same benefits as they previously have. In addition, beginning in January, we'll implement an employee stock purchase program to further align the efforts of our employees with the performance of our company. I cannot say enough about our people, our team and their desire to win, and I wanted to take a minute just to say thank you to the entire team. Now, while I focus much of this call and the benefits of our actions to the company, our customers and our financial performance during our first quarter, I would like to underline that these actions are all in alignment with LSI's long-term efforts around sustainability and our ESG initiatives. As you may know, many of our products at LSI designs and manufacturers have a direct impact on energy usage in the environment. We work hard to assure that our products perform to the higher standards, and we constantly push ourselves to improve even further. While we often talk about the diversification of our supply chain in terms of availability, it's also allowed us to shift parts of our material sourcing to regions and companies that respect sustainability, environmental efforts and working ways to promote the long-term health of our planet. LSI's commitment to our employees is always front and center to our actions also. The concept of a living wage in a work environment that's safe, inclusive, except and promotes diversity is important, and it's one that we're committed to. If you have not had an opportunity to look at LSI's commitments to these principles, I would encourage you to visit our website and view our ESG statement and the work we're doing within the company. In closing, I would like to mention that JSI's performance is above our expectations, and we're excited by the opportunities that lie ahead with them. Throughout the first quarter, we've made many improvements across the entire company. We have the talent and resources to build upon the operating strength we've developed over the last few years, and we are strategically positioned to win as a company. As we look forward, we know that we have opportunities in front of us, and we demonstrated the ability to both build and acquire business. We expect to continue to build upon our momentum, and we feel great about our future. With that said, I'll turn the call back over to Jim Galeese for a look at our financial performance.
Jim Galeese: Thank you, Jim. Highlighting key financial statistics for the fiscal first quarter, sales increased 52% over prior year, including the first full quarter of the JSI acquisition. Excluding the JSI acquisition, comparable growth was 19%, with both reportable segments generating double-digit growth. Net income was $3.1 million for the quarter, and adjusted net income was $3.5 million, an increase of 71% from last year. Earnings per diluted share were $0.11 and adjusted earnings per share were $0.13 compared with adjusted EPS of $0.08 last year. Adjusted EBITDA increased to $7.6 million from $4.7 million last year. Before I discuss segment performance, let me comment on the current supply chain operating environment as it relates directly to our Q1 sales performance and production capability as we enter Q2. Supplier lead times for key components continue to lengthen, and transportation reliability continues to decline. We've taken numerous actions to mitigate these challenges, but none more important than intensely increasing our inventory levels. While approximately 10% of our inventory is sourced outside the United States, a number of our domestic suppliers are experiencing similar challenges. Anticipating eroding conditions, we began increasing inventory back in April and continued to build stock levels into September, resulting in inventory increasing $9 million in the first quarter. This investment was critical to not only meet Q1 customer delivery requirements, but also positions the business to service the increasing backlog of customer projects scheduled in Q2. Shifting to segment performance, both segments achieved substantial increases in sales and operating income versus prior year. Sales for the lighting segment continued its positive momentum, generating 13% growth for the quarter. Project business led the increase with growth of 15% versus last year. Project business increased in key market verticals, including parking, automotive and warehousing. Sales into the warehousing vertical increased over 80% as our new product range continues to gain market acceptance. The lighting gross margin rate was 30.2%, increasing sequentially and equal to the full year fiscal '21 margin rate. Inflation continues with increasing material input and transit costs. Several key actions, including an average price realization of six points, combined with productivity, were successful in offsetting cost increases and maintaining our margin rate. We exit Q1 with a lighting backlog roughly 33% above prior year levels, with delivery commitments over the next two quarters. Overall quotation and order levels remain high and our capability to produce and meet customer delivery requirements are providing additional market opportunities. First quarter sales for our display solutions segment more than doubled versus prior year, with organic growth of 29%. Comparable growth was led by our digital signage portfolio, most notably, continuation of our large QSR menu board order. The outdoor portion of the program was approximately 55% complete at the end of September and will continue throughout fiscal '22 and into Q1 of fiscal '23. Petroleum graphics sales were flat in the first quarter as site installed schedules for several customer programs were pushed out, driven by product availability issues unrelated to LSI. These site releases are now scheduled throughout the next several quarters. Design proposal requests where potential petroleum programs remains positive with over 10 proposals in development. JSI sales were $23 million for the quarter, continuing a strong demand pattern for multiple regional and national grocery chains. Volume remains favorable across both refrigerated and non-refrigerated units, confirming the full solution capabilities of the JSI portfolio. Q1 orders were double digits above prior year, a positive indicator as we enter what is historically a slower quarter for in-store grocery renovation. First quarter operating income for display solutions doubled to $3.8 million from $1.9 million. The operating margin rate decreased 80 basis points, with mix and select program margins contributing. We've secured customer acceptance for price adjustments in all national, multi-site and some multiyear display solutions programs. Due to the size and significance of these programs, the duration of the pricing discussions, limited price realization somewhat in the first quarter, contributing to the modest operating margin decline. Improved pricing will be realized throughout Q2 and fully aligned with input costs by the end of the second quarter. We do not anticipate any significant business interruption due to supply chain in the second quarter, but do expect some continued construction schedule changes, driven by broader availability issues. Moving to capital allocation, a regular cash dividend of $0.05 per share was declared payable November 23 for shareholders of record on November 15. Working capital increased in fiscal Q1, driven largely by the investment in additional inventory, resulting in an $8 million use of cash in the first quarter. We continue to prioritize capital to support our vertical market commercial strategy. The company's ratio of net debt to trailing 12 months adjusted EBITDA was 2.5 times with total debt outstanding of $78 million. I will now return the call back to the moderator.
Operator: Thank you. [Operator instructions] Our first question comes from Craig Irwin with ROTH Capital Partners. Please proceed.
Craig Irwin: Good morning, and thanks for taking my question. First, I should say, congratulations, 19% organic growth, 33% growth in backlog year over year. You guys are definitely executing and inflecting off the challenges of the last year. So a very impressive result. Can you maybe talk a little bit more about how you achieve the 30% gross margins in lighting? That's an industry that is quite challenged. Many of your peers are underperforming really due to supply chain and other issues, but can you maybe share with us a little bit more about what you've done right on the lighting side that's allowing you to see both revenue growth and margin expansion?
Jim Clark: Yes, good morning, Craig. Jim Clark here. Thank you for the question, and thanks for taking the time on the call today. It really is about the supply chain thing that we've been talking about now for the better part of two years. Prior to COVID, we had made a decision that we had too much concentration on Far East on car supplies and such. We purposely set out to diversify our supply chain for a couple of different reasons. One, to isolate ourselves from that heavy concentration. We were looking at that time at duties and tariffs and kind of an uneven situation going on there. The second was around just local sourcing, a lot of the things that we had for components. So we wanted to see what we could get back here in the United States and on this continent that would isolate us a bit from ocean freight and shipping and maybe duties and also give us a little bit more control around environmental, the way people are making these products and that type of thing around a lot of our ESG initiative. And so, by doing that, it was prior to COVID, we had really diversified that supply chain. So we've been very fortunate from a supply chain standpoint. Now, with that said, I just want to say that we're not isolated from supply chain disruptions. It works its way in. And frankly, everything that we do now takes four to five times the effort to get done. So it's not one supplier, it's multiple suppliers. It's not one phone call. It's multiple phone calls. And then, the back end of all of that is really about availability and then good price discipline. That we sat down with the sales force with our national account managers early on and explained what inflation is, what it looks like and how it's impacting and going to impact our business. And it gave them the talking points to go out and meet with their customers and explain it. And I have to be candid, I mentioned in my comments, our customers have been extremely collaborative, for the most part, overwhelming percentage of the willingness to accept the price increases, understanding that the price impact on materials and everything is real. So supply chain, good price discipline.
Craig Irwin: Excellent, that's really good to hear. So my second question is about the organic revenue growth rate. On the identity side of the business, right? You've, obviously, had some really strong performance there. And you called out your video display that, I guess, goes primarily into quick-serve as a very strong product group. Can you maybe comment whether or not the acquisition of JSI has helped supplement the growth rate there, right? Has it helped close sales and initiate new customer relationships, new sales? Or is there anything else sort of from this acquisition that you think is complementing the other side of the house and accelerating organic growth rates.
Jim Clark: Yes. So we believe that those collaborations and those opportunities are in front of us. But typically, on these programs that we get involved in, it's a long sales cycle activity. So it wouldn't be surprise me, although we've had some usual introductions and many of the customers that JSI has, we do business with and vice versa. We basically -- I think I mentioned it in a prior call, about a third of the customer base is somebody that's LSI is in the lead on, about a third of that addressable customer base is somebody JSI in the lead on, and about a third of them were -- we either don't know or either of us do not know or neither of us are in a lead position. We have had a number of conversations with different customers where we've introduced both parties. We've introduced both technology, but we anticipate that it will be pretty much six to nine months before we see actual sales benefits out of those, again, because of the program nature of these. They're not one-off purchases; they don't typically happen at the end of a month or at the end of the quarter, we're sitting down responding to a program, and we expect that that will take some time, but we do expect it to be there.
Craig Irwin: Understood. So last question, if I may. I know EBITDA is up year over year very nicely and sequentially, and your EPS, I guess, is sort of flattish sequentially. The real sort of delta versus your significant outperformance on revenue was the gross margin line. You're not long on excuses. You didn't give us any excuses for gross margin. But I'm going to guess that you probably did have some extra freight costs, and it sounds like you're making a little bit more investment in your employees. Can you maybe call out incremental healthcare costs, incremental freight costs on the COGS line or approximately sort of what this looks like at this point?
Jim Clark: I can't comment on healthcare. Health care, the HR department did a very good job. As you likely know, we're self-insured. They did a very good job of managing those costs. They were I believe they were high single digit, low double-digit increase. I did mention on the call that there will not be any increase to our employees. We are absorbing that cost. In terms of freight, it's been varied, but it's certainly in the teens relative to surcharges and extras on freights we've carried in mid- to high teens. Part of our expense has been -- I mentioned it a little bit, is this a touch point in the ability to get the materials we need. We have -- we adopted at the beginning of this, a mentality that we were going to be recognized for our availability. And we have been able to not only take the orders but ship against them in a very reliable manner. It's caused a bunch of additional work on the back end, and that additional work is, like I said, it's not just one supplier, we need to go to get components. We need to go to multiple suppliers. It's not just one phone call, it's multiple phone calls. And sometimes there's a price variance. And oftentimes, there's a price variance using the multiple suppliers. So, all of that does take small paper cuts on margin. But in the bigger picture, we have better utilization, and we have been taking share, and I think this is momentum that will stay with the company for quite some time.
Craig Irwin: Great. Congratulations again on impressive execution in this environment. I'll hop back in the queue.
Jim Clark: Thank you.
Jim Galeese: Thank you.
Operator: Our next question comes from Amit Dayal with H.C. Wainwright. Please proceed.
Amit Dayal: Thank you. Good morning, everyone. I appreciate you for taking my questions. With respect to the JSI business, can you talk a little bit about the seasonality in it? I know you're saying you're entering a slower period for that segment right now. How should we expect sort of the rest of the year to play out for JSI.
Jim Clark: Good morning, Amit, thanks for being on the line. We are starting to get our legs underneath us from a historical perspective with JSI. We can look at their business cycles typically, and we take a lot of direction and guidance from the management team that is there. We do know from being in the grocery space for quite some time, there's a sensitive period in grocery, pretty much November through January as they focus on the holidays, Thanksgiving, Christmas, New Year's and so a lot of the in-store construction and that type of things, the actual deployment stops. But the order flow and the commitments for those programs after have been pretty robust. And like I said in my comments, JSI certainly outperformed our expectations in Q1, and we are very positive facing for what Q2 would be. But with that said, we think there is some seasonality, November, December, Q2 for JSI. And as we go through it, we'll have a much better comment for you in January and February as we kind of emerge through it.
Jim Galeese: Yes, Amit, Jim G. here. I'll just add to Jim's comments that we're very encouraged by the ongoing strong order rate inquiry right there. And it just confirms the ongoing investment that continues in the grocery industry to capitalize on opportunities and continue to transform themselves, and that's benefiting JSI tremendously. So their Q1 orders are well above what historical rates would be as we enter into Q2. So we are very encouraged by that. And I'm going to have one last comment, and the management team has been very engaged up there. We have we've integrated a number of operations, resources from LSI. They've definitely benefited. We have a number -- we have a slate of programs that we will execute against over the next year and year and a half. They're encouraged by the productivity gains and just a different way of thinking. And like I said, the management team there couldn't be a better group of folks to work with. Just a great cultural fit for the company -- for both companies.
Amit Dayal: Thank you for that. And just maybe one more for me. In the last call, you mentioned you had seen pickup post the pandemic period in deployments, etc. Have you caught up with that type of work and you're fulfilling against the new backlog? How should we think about what stage of deployments relative to the backlog you guys are working through?
Jim Clark: Yes, so if I -- you cut out there in just one section, but I think you were saying the demand pattern relative to our Q4 in coming out of COVID and into Q1. It is still disrupted. There's no question. What's happening is we see high demand and high request and quote activity has been -- continues to accelerate. It is not staking or it is not plateaued. Our quote to order conversion rate has -- continues to kind of be lumpy. Although the comment would be it's on the longer side. What we're hearing from many of our customers are that, although the project is moving along, sometimes key elements, windows, doors, ceiling tiles, things like that are missing from the project, not related to us but are missing for them to complete the projects. So there's still some of that lumpiness and unpredictability, but we do feel as though the next -- at least looking into the next quarter, quarter and a half, we believe that demand is going to stay high. And so, we're encouraged, but the lumpiness has not come out of it.
Amit Dayal: Okay, understood. Yes, that's all I have for now. I will take my other questions off-line. Thank you so much.
Jim Clark: Thank you.
Jim Galeese: Thank you.
Operator: Our next question comes from Richard Fearon with Accretive Capital Partners. Please proceed.
Richard Fearon: Hey, Jim and Jim, congrats on another nice quarter and the smooth integration of JSI.
Jim Clark: Thank you, Rick.
Jim Galeese: Thank you.
Richard Fearon: Just a couple of quick questions. It sounds like the JSI sales synergies really have a six- to nine-month gestation period. Just wondering on the other side of things, if you've discovered any additional cost-saving synergies? Or on the flip side, unexpected challenges that you may not have really anticipated at the close of the JSI deal, it sounds like management team has been just as you expected, which is a real great fit. But anything that's kind of posed additional challenges?
Jim Clark: Yes. I think that, first of all, I couldn't do enough justice underlining the cultural fit. When we met these folks and they met us, it was important on both sides. And that fit has been very important. I mentioned in prior calls that we weren't the highest bidder on this project, but we were the best fit in both the management team at JSI and the private Equity group that owned them saw that fit and saw the opportunity. So we're very grateful for that. We haven't run into any challenges that we weren't expecting. I think that supply chain for them has been a little bit more lumpy than ours, but they have done a very good job of working around it. And they have had the opportunity to leverage our resources a bit that's probably smooth some of that. We see much like we've done at LSI in terms of operational improvements and those things, which we are not done. We're just paused right now because so much effort is associated with working through COVID. But at JSI, we do see some operational efficiencies and programs, things we can work against, but we have all our hands on deck right now, just navigating the choppy waters we're in because of COVID. So, we do see -- we don't see any challenges, but we do see some opportunities that we see in the future. And we see primarily not just the operational things, but from a commercial standpoint, LSI -- JSI could be a lead in some of those customers that were not quite as strong with, LSI can be a lead for JSI in some of those. And then, we still have this whole potential new market in the Petro area, which we think the prepared foods and the refrigerated display cases that JSI offers, it can be a real boom for us. But that is going to take -- that sales cycle is going to take even longer than the six to nine months because we're really creating a whole new category in parallel with interest from our customers, but it's a whole new category and an approach. I don't expect it to happen overnight.
Richard Fearon: Right. And it does sound like when you have that great fit at the top, all filters down to the team. So it will be exciting times ahead. I wondered if there's any leadership positions across the board, whether it's JSI or LSI that you're looking to fill as you put together your game plan for the growth in 2022? Or is the team in place, really? Is it all about execution at this point?
Jim Clark: It is all about execution right now. The JSI management team stayed intact, and we are very committed and excited to come onboard. There haven't been any major changes on the LSI side. And we anticipate that this is the team we're running forward with and we see a lot of opportunity within the team.
Richard Fearon: Okay, great. And so, how would you characterize it, the growth in backlog? I mean, is it comprised of lots of singles and doubles? Or are you seeing any potential sort of home runs that the QSR menu board project has represented in the past year? Are there a few of the big projects kind of in the back book?
Jim Clark: Yes. Most of the activity has been good, solid doubles and triples even. We do have a couple of those projects out there that we're waiting on answers on that are truly kind of transformational, these big projects take time. And I think within COVID, it's even been exasperated because we may be able to deliver the solution, but then all kinds of other components aren't able to come. The good news is that none of the larger projects we've been working on have died or been canceled, but they are -- they have been extended. I don't want to put my -- I don't want to get to on a hook for something in this environment. But I will say that we do have a number of those projects that are out there that we've been engaged with, and we feel strong about, but timing could be Q1 of calendar -- of next calendar year or it could be Q1 of two calendar years from now. It's just very hard to tell because just like us, our customers are going through massive change in headwinds, and they could change their mind at any point. But most of what you see in terms of the results side of it have been a solid stream of doubles and triples.
Richard Fearon: Yes. You're definitely not alone with that sentiment, by the way, among other management teams, it is just everything is much harder to get done. And those bigger projects do seem to be pushed out a little bit. But with this expected sales growth and increasing profits, you see an opportunity to restart your stock repurchase program?
Jim Clark: We haven't really had any discussion about that yet, but I think it's something that we'll kind of defer for at least a quarter.
Richard Fearon: I'm glad you got -- I read about the program that you put in place for employees, and that seems like a really nice incentive. So I guess, we didn't hear about pickle ball is business strong and has everyone at LSI taken up the sport now?
Jim Clark: Well, I'll tell you, even a couple of comments about putting pickle ball courts in our parking lots in Europe. Yes, we remain committed to pickle ball. We like the energy around pickle ball, and we like the growth rates. I think I've mentioned before, it's fastest-growing sport. But it's all of sports court lighting. Usually, when we're talking to a pickle ball facility, there's tennis court and other court activity there. So that continues to drum along nicely for us. That would define kind of the singles approach. There's usually -- there isn't a lot of multinationals that own hundreds of courts across the states or anything like that. So that's a lot of singles activity. But we still are very committed to it, and we like the spot we're in. And we have had a good stream of wins there.
Richard Fearon: Great. Well, I hope you're get out there [indiscernible]. And thanks to both of you and your team for all the great work and best luck with your ahead.
Jim Clark: Yes, thank you very much. I appreciate that.
Operator: Ladies and gentlemen, we have reached the end of our question-and-answer session. I would like to turn the call back to Mr. Jim Clark for closing remarks.
Jim Clark: I would just like to echo some of the things we just actually talked about. I can't say enough for what our employees at this company do for us. Their commitment has been outstanding. Really, I think, tough times always kind of expose the waterline, so to speak. And we are doing -- as a management team, we are doing our best to share those the benefits of our growth and the challenges of our growth with our employees, and they've been very good back to us. The supply chain work that our folks are doing is just incredible. Like I said, the output is exactly the same, but the input, the effort is four, five, and six times what it used to take before. But the good thing about it is it's in tough times like this, it's really exposing the capabilities the organization has, and I'm very proud of the team that works here across the whole company, thrilled with the way JSI is integrating, and we see really strong opportunities ahead for us. I think if we weren't in the COVID situation, those -- that growth and those opportunities would be even more apparent from an external standpoint. But we were very happy with the last quarter, and we remain excited about what lies ahead and I appreciate everyone for taking the time to be on the call today with us. Thank you.
Operator: Thank you. This does concludes today's teleconference. You may disconnect your lines at this time. And thank you for your participation and have a great day.